Operator: Good morning ladies and gentlemen. Welcome to the Cargojet Third Quarter Results Conference Call. I would now like to turn the meeting over to. Pauline Dhillon. Please go ahead Ms. Dhillon.
Pauline Dhillon: Thank you. Good morning everyone and thank you for joining us on the call today. With me on the call today are Ajay Virmani, our President and Chief Executive Officer; Jamie Porteous, our Chief Commercial Officer; and John Kim, our Chief Financial Officer. After opening remarks about third quarter results we will open the lines for any questions. I would like to point out that certain statements made on the call such as those relating to our forecasted revenues, cost and strategic plans are forward-looking within the meaning of applicable securities laws. This call also includes references to non-GAAP measures like adjusted EBITDA and adjusted EBITDAR. Please refer to our most recent press release and MD&A for important assumptions and cautionary statements relating to forward-looking information and for reconciliations of non-GAAP measures to GAAP income. I’ll now turn the call over to Ajay Virmani, our CEO.
Ajay Virmani: Good morning. Thank you Pauline and thank you everyone for joining the Cargojet conference call this morning. As you know we have had a very busy quarter. On August 23rd we announced the strategic partnership with Amazon. On September 30th we started a second ACMI route for DHL between Mexico and Cincinnati, Ohio adding to the solid foundation of our ACMI line of business and continued growth. And on October 31st we announced our intent to redeem our 2021 convertible debentures two years early. These moves are in line with our long term strategy of building strong foundation for growth as well as our desire to reduce overall leverage and strengthen our balance sheet.  Let me now talk about third quarter results. We posted another strong quarter with 4.7% revenue growth excluding fuel surcharges, margin expansion, and a strong adjusted EBITDA growth of 24.1% over last year. As I mentioned on our last quarterly call that we are now positioning each of our business segments for growth with higher margins. We are putting in place the strategic components so that over the long-term our domestic network, ACMI as well as charters can be all positioned as growth businesses. During quarter three we made significant progress towards this growth.  Our domestic overnight revenues grew by 5.5% largely reflecting summer months of online shopping. Our ACMI business grew 33.3% reflecting additional routes we added for supporting some of our major customers to service U.S., Mexico, and a couple of other markets. And as for the softness in charter revenues, as we noted at our last analyst call we made a proactive decision to suspend certain unprofitable routes for South America due to lower global air cargo demand and redeployed aircraft to more profitable opportunities. We expect margin improvements going forward as a result of this decision. We will continue to monitor opportunities and we will only enter new charter routes if we can meet our margin expectations and targets.  Our core emphasis remains on enabling faster deliveries for e-commerce for all of our customers. We were pleased with the growth we saw during the Prime Day sale and traffic during back to school. Also demonstrated new customer behavior. We are now gearing up for our peak season volumes. It is worth reminding everybody that Canadian e-commerce market as a percentage of total retail sales is still behind U.S. and Europe. Canadian e-commerce remains around 6.67% range while the U.S. is almost double that percentage, and Europe being triple of that. We believe we are still in the early stages of harnessing this secular trend and have a lot of catching up to do.  Major online retailers are regularly adding new SKUs to the Canadian offering improving selection for Canadian consumers. We are continuing to see a shift in the shopping patterns with Amazon's announcement of one day prime and other retailers now trying to compete with faster delivery standards, online shopping has now moved to a seven day a week shopping pattern. Major brands are now accelerating their focus on building direct to consumer business models creating more opportunity for air cargo volumes. This is leading to a stronger volumes on the weekends on our network and we expect to see more of this trend during the peak holiday season.  We were also pleased with our fleet utilization metrics and are committed to managing our CAPEX prudently. As we see additional growth opportunities we'll invest in our network appropriately. I'm extremely proud of my team of 1100 employees because each one of them understands the importance of on time delivery for our customers along with safety and security. Our maintenance team works extremely hard to make sure that our fleet remains in top form.  Once again I'm pleased to report that quarter three on time performance was 99.3%. This is a key metric for our customers because they have built their first and last mile networks that rely on our ability to meet our commitments. As I shared in my previous remarks we remain focused on profitable growth while continuing to strengthen our balance sheet. Our medium-term goal is to bring our overall leverage down to somewhere below three times adjusted EBITDAR. But I must caution that we are still in a hyper growth environment in the e-commerce space. And if we are presented with strong growth opportunities with attractive margins and economics that can drive long-term shareholder value we will not be shy to invest.  Let me conclude by commenting on the upcoming peak season. Based on our assessment of shopping behaviors an increasing number of categories for which consumers are now shopping online based on the estimates and forecasts received from our customers we believe that this holiday shipping season -- shipping and shopping season is going to be yet another record setting season. We are fully geared up to support the expected growth and look forward to ending the year on a positive and very strong note. Once again thank you for joining me this morning. We will now open the call up to questions. With me are Jamie Porteous, our Chief Commercial Officer and John Kim, our Chief Financial Officer along with Pauline Dhillon.
Pauline Dhillon: Lori if you can open up the call for any questions. 
Operator: Thank you Ms. Dhillon. [Operator Instructions]. And the first question is from David Ocampo from Cormark Securities. Please go ahead. 
David Ocampo: Good morning everyone. My first question is on volumes, this was kind of a focus last quarter and it still looks relatively weak versus last year. Can you talk about some of the dynamics at play here specifically b2b enrolling volumes and b2c?
Ajay Virmani: Well, go ahead Jamie. 
Jamie B. Porteous: Yeah, good morning David, I can comment on that. As you're aware and as you've seen globally overall that cargo demand is down significantly. I think in Q3 2019 [indiscernible] forecasting about a 5% to 6% global air cargo demand, deterioration in volumes I think you most people have seen Air Canada's cargoes press release last week where they've reported 18% reduction in cargo revenues in Q3 primarily from international demand. We're seeing the impact of that. Our interline business is down about 40% year-over-year. Obviously as Ajay mentioned in his notes one of the actions that we took as we saw that demand deteriorating internationally was suspending the routes to Lima and Bogota. And one of our weekly frequencies to Cologne so that we could do two things; one, improve margins and redeploy those assets on more profitable routes which we'll continue to do. On the domestic side the traditional b2b business is relatively flat overall but that's certainly being offset by the significant growth in e-commerce from multiple retailers on our domestic network.
David Ocampo: Perfect, and on the pilot shortage ACS kind of early stage that they need to hire a significant amount of pilots from Max next year, and this coupled with new service roles do you see any difficulties with recruiting beyond what you provision for?
Ajay Virmani: Actually not. We had renegotiated our pilot agreement in light of the shortage we were expecting and the market conditions of the new pilot fatigue rules. We extend our agreement with the pilots for another three years up to 2027. We also put in place retention and attraction incentives for the pilots to stay on. Right now our pilot is quite up to what we expected it to be and what we need it to be. I think Cargojet has become a very attractive place. We are leading in terms of compensation and working conditions right now. And I think you know the steps we took certainly we are in a place to attract more pilots that want to come back to Canada, who were expats. They are flying for various foreign carriers and getting direct entry Captain or direct entry First Officer jobs on white body aircraft is something that neither Air Canada or WestJet can offer to new entrants in the marketplace. So we are quite well positioned for that. 
David Ocampo: And kind of last one for me and a quick one, I'm not sure if you mentioned this in your prepared remarks but did you add that regular service Sunday flight, they will happen? 
Ajay Virmani: Yes. We have a Sunday flight now as per our schedule and in the peak we are also adding a Saturday flight as well.
Jamie B. Porteous: Yeah, it's been actually a permanent flight since May of last year and we recently added a second flight and as Ajay said we'll be adding a Saturday frequency during peak.
David Ocampo: Perfect eye on the color. 
Operator: Thank you. The next question is from Walter Spracklin from RBC Capital Markets. Please go ahead.
Walter Spracklin: Yeah, thanks very much. Good morning everyone. So Ajay you mentioned there is a record fourth quarter coming up for peak. You had a pretty tough comp last year with the double-digit, is double-digit something we should bring and pull in for volume or given the difficult comp is it more a kind of mid to high single-digit range just in terms of directional?
Ajay Virmani: You know we certainly expect a better peak than last year simply because if you remember a lot of shippers who weren’t shipping and lot of consumers weren't buying because of the Canada flow strike going on and there was a big impact about that. And I feel that this year the market is quite normal, e-commerce is in full swing and I expect this peak to be certainly better than the last peak and that's what we hear from our customers and their forecasts as well.
Walter Spracklin: Okay. And Jamie or John who is the best one for this, but your margin has always been better in the fourth quarter because of that -- the economies of scale effect on the fourth quarter and you had a very strong third quarter EBITDA margin, any reason or is there anything in the third quarter margin that won't replicate and shouldn't we see again a better seasonally fourth quarter margin compared to Q3?
John Kim: I'll take that Walter. I can assure you that our focus for the last -- this year has been on margins a lot and I do not see anything in fourth quarter that we would have different trend or margin that we did in quarter three. But keep in mind we also suspended certain low margin routes like South America and a few other flights that we used to do here and there and some charters that were not giving us the required margins and we were able to find those routes that we were replaced with high margin daily flights like for example Cincinnati, Ohio that kind of stuff. So margin improvement is on the top of our list and I see no reason in quarter four that they will -- there would be any change in that at all. I think that they get better.
Walter Spracklin: That's fantastic. Okay, very encouraging. And then John CAPEX, any adjustment that you'd make given your view on fleet requirement. I believe if memory serves you are $200 [ph] million for the year in total CAPEX guidance that came down a little bit because you shook one aircraft free. Any update on the on 2019 CAPEX and any indication can you provide based on your fleet plans for next year combined with maintenance CAPEX what we should be putting into our model for CAPEX for 2020?
John Kim: Sure, Walter we don't have any change really in our fleet plans from the last quarter. So what's in the MD&A is still we don't expect that anymore aircraft other than the 176-7200 in the first quarter of next year. In terms of 2019 CAPEX we probably will be slightly higher than 200. We've been looking in the market for engines and feedstock and I think we've found another aircraft with a couple of engines and a spare engine. So it might be closer to 210 by the time we finish up here. For next year in terms of maintenance CAPEX side, our long-term average is somewhere between 60 million to 65 million Canadian per year, we should be close to that. We did buy a bunch of engines this year which will help us reduce our engine CAPEX for next year but we haven't baked in our CAPEX plans as of yet. But the long term it should be close to our long-term maintenance CAPEX. 
Jamie B. Porteous: And we -- Walter our aim is to not sort of increase our CAPEX from where we were last year although we are expecting a slight increase but we will have to manage it. We have strict guidelines to ensure that our CAPEX doesn't see where we were last year.
Walter Spracklin: So this year was a fairly heavy growth CAPEX year with if we call 75 million in maintenance about 125 million in growth, are you saying that we'll probably get about 65 million in maintenance this year but would we have another 100…?
John Kim: No, I think with the one delivery which we've already capitalized a lot of the cost of that conversion on our last 767-200, our growth CAPEX will not be anywhere near what it is. 
Walter Spracklin: Right, okay, perfect. 
Ajay Virmani: And we already have bought some engines that we will be using for future years because we got a better deal. So that will bring down that cost as well going forward.
John Kim: And I think once we get to our planning cycle and again we're always in the market for used engines primarily we should be able to give you a better picture of 2020 in the next conference call.
Walter Spracklin: Okay, fantastic. Last question here is on ACMI and charter, adding another route there September 30th is the -- what could we look for in terms of quarterly run rate now when we add in all the routes and I don't know Jamie if you've got any color on any additional routes that you're working on that might pop up in 2020?
Jamie B. Porteous: I think the route, I think you could factor in the new route that we added on September 30th. I think we indicated in the MD&A it was generating about $11 million in additional annualized revenues. You could add that to our run rate that we've experienced for the first three quarters and planned that out for 2020. Certainly we're always in discussions with our customers both DHL and others about other opportunities but nothing in the short term right now.
Walter Spracklin: Got it, okay. 
Ajay Virmani: And we are always looking for opportunities that our customers know it and you know we'll continue to do that.
Walter Spracklin: Alright, appreciate the insights. Thanks very much. 
Operator: Thank you. The next question is from [indiscernible] from Scotiabank. Please go ahead. 
Unidentified Analyst : Thank you and good morning everyone. Just on the domestic first I just want to touch on the previous comment you made, so the growth and obviously revenue per operating day has slowed down from 50% -- from 8% to 9%. And the thing you alluded to the international weakness which I think plays into that as well because of interlines, right. But I'm just looking for the specifics if you can provide on your contract versus the spot business because you obviously keep 75% to 80% for your contracts and then the remaining goes to the spot business. Have you seen any change in that dynamic like spot falling off a little bit here because that's kind of the more -- the business that's more dependent probably on the global trade?
Ajay Virmani: No, I don't think we have seen anything significant drop on the spot. But also keep in mind Conard that the business in July or August are traditionally very slow because of the summer months. And the only real event we had was back to school and a prime day sale which kind of helped the whole process. But generally I would not gauge July and August months for any kind of real growth weakness. 70% of productions and facilities and warehouses are all shut down for summer vacation. So it is very traditionally slow. And the interline business yes, it is. It's not a high margin business but it certainly pays for the gas and some and some and that business we expect it to bounce back. It's not that that business is continuing on to some of the other countries like South America and all that's, but not to Canada obviously. And I think that's not some resolution happens on the China trade deal with U.S. I think that business will bounce back as well as well.
Unidentified Analyst : Okay, that is good to hear. Then on the peak season, so it seems like you're expecting decent increase here, so just trying to understand like what are you hearing from your customers in terms of the growth for this peak season. I know UPS just came out saying that on the flip side they said they expect a 26% increase in shipping returns on January 2nd. That's pretty high and obviously they expect a lot of return, so on the return side they're expecting a lot of volume but on the shipping side to customers b2c and e-commerce what are you hearing from your customers in terms of what kind of growth can you see this year in peak? 
Jamie B. Porteous: I can answer that for you Conard. As Ajay mentioned before I mean there's a couple of things that are impacting our peak season this year. I can tell you that from all the e-commerce retailers that we received forecast for we're expecting extremely double digit, strong double-digit growth year-over-year versus peak season Q4 of last year. And as Ajay mentioned there are a couple of other significant factors this year. There's no Canada Post labor disruption that's affecting volumes or affecting shipping patterns. We also have a short, a condensed peak season this year as compared to normal traditionally the last few years. Especially from an e-commerce perspective peak season really starts on Cyber Monday and with U.S. Thanksgiving being a week later than normal this week on the 28th of November the peak season really gets into year starting December 22nd. So we're really looking at five weeks worth of volumes condensed into four weeks. But we're expecting a very strong double-digit growth on the e-commerce side.
Unidentified Analyst : Okay, that's great, thanks. And on the on the convertible debentures John if I may, can you tell us what is the amount outstanding today and then have you already seen some conversion already by the owners?
John Kim: Yeah, I think on the balance sheet because of the way you do the accounting it looks like about 113.5. But I think in terms of gross debentures out there it's more like 119 million. They're worse and the original amount was higher. We did have some redemptions, typically retail redemptions during the last couple of years trickle in.
Unidentified Analyst : Okay. But you haven't seen any material reredemptions yet by the holders?
Ajay Virmani: Oh no. You get a few. And you know ideally everyone needs to tender those debentures otherwise they get taken out at 95% of market.
Unidentified Analyst : Right, makes sense. Okay. Thank you so much. 
Operator: Thank you. The next question is from Cameron Doerksen from National Bank Financial. Please go ahead. 
Cameron Doerksen: Thanks, good morning. Just a question on DHL, they've just announced further large expansion in Hamilton0. I mean I assume that's a positive for you. Can you maybe just describe what that potentially means for you with their expansion there?
Ajay Virmani: Well what it means is that obviously we do a number of functions for DHL and Hamilton. We do the maintenance on that aircraft. We do the ground handling for that aircraft. And we also do obviously fly that aircraft for them as well. And I think being in Hamilton which is a great story for all of us that they do not intend to change their plans coming into Canada, reduce capacity. Hamilton is the hub -- for us Hamilton is the hub for them. Now they were always there. Not sure whether they're going to continue to fly into Hamilton or they would go into Toronto Airport or I mean we would obviously gear up if they were going there but I think what it does is it kind of solidifies our alliance with DHL and Hamilton where we can do a lot of things together now that they have permanently selected that as a backup.
Cameron Doerksen: Okay, that's great. Just a second question from me for John. Just on the stock worn valuation gain in the quarter, I'm just wondering if you can maybe just walk through what drives that and should we expect in the future a gain or a loss each quarter. I mean I know it's just an accounting thing but I am just wondering what's going to drive that quarter-to-quarter that gain?
John Kim: Yeah Cam we have to be really careful in terms of the sensitivity to our customers. So the information that we disclose and we're being pretty fulsome in terms of the disclosure that we make and the explanation of the accounting in our MD&A and our financial statements. We really are not going to comment any further in terms of -- and even if there's some disclosure that you might find useful we might think about it but right now it's really -- we're really unable to comment any further on the accounting of those warrants. 
Ajay Virmani: Because of the sensitive nature of the business and we are a neutral net worth for all customers and we like to keep customer information. You know not sort of make it public how much they're shipping or what their revenues are and all that. And that's a sensitive information for all of our customers and we'd like to keep that portion of this confidential.
Cameron Doerksen: Okay, but we should expect there to be a gain or there is a potential for a loss just from an accounting point of view each quarter, is that correct?
Ajay Virmani: There's some reevaluation each quarter and that's again -- that's all under IFRS. It's a requirement because of the but the nature of that derivative. Yes, so there will be quarterly adjustments depending on the market. But they'll typically be non-operating.
Cameron Doerksen: Right, of course, okay. Okay, that's fair enough. That's all for me. Thanks very much. 
Operator: Thank you. The next question is from Doug Taylor from Canaccord Genuity. Please go ahead.
Doug Taylor: Yeah, thank you. Good morning. Another question on the margin profile here was very strong in the quarter and you had some constructive things to say about the margins in Q4. One thing I observed was that you did seem to benefit from your ability to pass through fuel costs versus your realized fuel costs this quarter. Is there something as you shift some of your volumes or your capacity around that's changed structurally and how you're charging through for fuel costs that you expect to see a sustained benefit in terms of the revenue versus the cost line item there?
Ajay Virmani: I think Doug your if you have seen any of that during the fuel just keep in mind when we were flying the South American route the fuel was not a pass through we had the commercial risk on it. By moving away from that model temporarily because of the lower demand the global trade and all that we have gone through the ACMI which would replace that aircraft on that route with where we have no exposure for fuel. So I think that's where you might see some improvements but our general fuel policy remains the same that customers have a built in fuel price and anything over and above that we follow the index. All customers have the different formulas that they -- we have negotiated with them fuel and basically our policy is that on a normal overnight network or domestic network we do not have an exposure of fuel increases. So that's past too but I think the margins of the fuel improvements are certainly as a result of canceling flights to South America.
Doug Taylor: So there is the potential for you to recognize more margin there through the cycle as opposed to just in periods where fuel prices are...?
John Kim: Yeah, yes there is because even on the charters now we have tried to do wherever when charters are needed by different customers we evaluate whether who are we competing against, what are our options and we certainly try to increase their margins on those ad hoc charters that we're doing.
Doug Taylor: Okay. Second and final question for me, again building on the previous caller's line of questioning with respect to Amazon and I understand your sensitivity there but I mean is there anything qualitatively you can say about whether they've changed their behavior with respect to your network at all in following the new commercial agreement? 
Ajay Virmani: So there was no new commercial agreement, this was a strategic agreement so that's number one. There was never -- we never change the commercial agreement. So we got a commercial agreement for a couple of years, there is absolutely no change in behavior. There is no discussion on any of the issues, business is as normal as a customer. There is absolutely like nothing I can even tell you that I've even just passed anything with them on the revenue side. So our strategic or commercial mix stop they continue to do business as usual. They're very -- Canada is certainly a big growth environment for them, they certainly believe that Canada is way behind on e-commerce than the rest of the world and where other Amazon operates in. And they have some very, very strategic and strong proof plans for Canada and we are certainly part of that plan.
Doug Taylor: The other thing that is coming out in conversations I've had with you in the past is that Amazon often plans pretty far out in terms of their planning for logistics. Can you talk a little bit about what they're talking about for 2020 or for those conversations started with respect to planning your fleet around what they like to do? 
Ajay Virmani: Yeah so basically Amazon is a number of ways that we get their business. We get it through a number of our customers and if you look at the example in U.S. although they have 60 planes committed they'll probably go with more planes. They're always looking for growth so besides they grow their own network which they want to do with us but they are also growing with many of the customers in U.S. with a double-digit growth. So we get Amazon directly, we also get Amazon from two or three for live customers and everybody's seeing growth. And the plan that they tell us is that everybody is going to continue to grow with their growth and basically that there is no change or shift that we will get it directly or the customers are going to -- everybody they expect that because their business is such that, requirements are such that certain customers want certain pickups on a certain day and we're not in a pickup and delivery business so we'll continue to go the middle mile through our customers and through Amazon directly. So there's no change. Yes, they do some planning far out but it's not something they do flight by flight or by routing to just have a general forecast that they give us every six months that we look at and plan about capacity accordingly. The good news is that all over the next year what we look at is we can accommodate all that growth in our existing fleet and existing infrastructure without adding any aircraft or any significant capital expenses
Doug Taylor: That's great. Thank you very much.
Operator: Thank you. The next question is from Kevin Chiang from CIBC. Please go ahead. 
Kevin Chiang: Hi, good morning and thanks for taking my question here. Maybe if I could ask the margin question a little bit differently, so if I look at your year-to-date EBITDAR margin to kind of just neutralize impact of IFRS 16 you are up roughly 190 basis points year-to-date and you've noted you're pilot costs and I guess you had some low margin charter business that you have exited. So, when I think of 2020 and it sounds like you'll start recouping some of these Pollock costs in the fourth quarter, you'll have cycled through a full year benefit of exiting some of these low margin routes. Is there a reason why your margin growth in 2020 can't be higher than what you're experiencing thus far in 2019 or am I missing something there?
Ajay Virmani: Well, we always strive to get higher margin business and we are somewhat of a function of market as well. So yes, to answer your question on pilot fatigue surcharge yes, we have implemented that with various customers. We'll see some of it come through in fourth quarter and some of it will come through in the first quarter and some of it also will come through the second quarter of 2020. But that's strictly covering our cost to make sure that our margin doesn't get further. It's not something that I think that would be a money maker. Our costs its strictly a cost recovery for us. The second part about the margins in 2020, as you know this year put a special or rear emphasis and focus on that and I expect that we will certainly maintain or improve our margins strictly by managing number one of our fixed cost that we have here. We're on a drive to make sure that we're not exceeding what we budgeted for. A lot of little improvements like for example we have a lot of overtime going, we are better off to hire more pilots and more maintenance people. So those kind of analysis continue to do and those impacted our margins for a bit. Plus keeping the pricing to a level where we have a fair return on our investment of our cost of invested capital return on invested capital is our key major obviously as we go forward. And I think that you will see in 2020 we will certainly maintain our better margins.
Kevin Chiang: That's helpful and then maybe I can just ask one on the charter business you've talked about or you noted that you've suspended some routes there. Are there more adjustments that need to be made in that network or is the run rate revenue we saw in Q3 is that a good way to kind of think about the quarterly run rate moving forward? And then maybe secondly with the more heightened focus on margins and profitable routes what does that mean for the long-term opportunity there, are you less patient to incubate new routes on the charter front or not maybe? 
Ajay Virmani: Okay, if tomorrow -- if the trade deals are signed between the U.S. and some of the let's say primarily China and the margins and the business starts flowing. As it was in the prior years I think there is a strong improvement of the margins. We can expect on those by two ways. One is, we will get some interline traffic that we can accommodate on the existing routes. That would contribute to a fairly significant margin increase because we're not adding any cost at all. And I assume that this is a temporary trend. Two major giants like U.S. and China are not on a stock doing great. It's a matter of who blinks first and when the stock, as you know most of these things that are now being settled on Twitter rather than sitting across the table. We expect a tweet to come through any day and saying yes, we have done. I think a lot of inventory is being built up in Far East from what I hear from our contacts and a lot of shipping will start as soon as that happens.  So besides the interline there could be also opportunities with our existing fleet to maybe do a Toronto-Mexico flight or a Toronto-Bogota flight or a Toronto-Lima flight or through Miami. So those opportunities we will take. They might not be as high a margin as we do on ACMI and some of the other stuff but we're also not just going to walk away just thinking that we want to keep a bargain at a certain level and forget the growth dollar and increase our EBITDA profitability. So we're not going to look at facts in isolation, about just the margin. If in the -- when the trade patterns improve as I said we will take the opportunity on the interline because that will come back, that has been there for at least 20 years that I know and certainly improved. This is the first time we have seen a dip and so as is Canada and so is every global carrier coming out from there. So this is why we kind of diversify, we started looking at ACMI and some of our other seventh day flight and the sixth day flight for our customers there. So we were able to replace all that and actually make it better. And same thing we will do when the trade comes back we will look at those routes again. We have suspended that, we have not canceled them and we are quite open to looking at that opportunities definitely when they open up and we will look at expanding those routes with improvement of trade patents. 
Kevin Chiang: That's helpful and just is I guess the current quarterly revenue stream you saw in the third quarter or volumes you saw is that kind of a good run rate to think about in terms of these tensions?
Ajay Virmani: Yes, I think that's probably a good assumption Kevin.
Kevin Chiang: That's helpful. Thank you very much.
Operator: Thank you. The next question and I do apologize if I don't pronounce this correctly, Gianluca Tucci from Echelon Wealth Partners. Please go ahead. 
Ajay Virmani: Hi Gianluca.
Gianluca Tucci: Hi guys, good morning. Congrats on a pretty good Q3. So a bunch of my questions have been answered here but just on peak season so do you expect to be flying seven days each week all season and if so like when is the expected first flight of that seven day? 
John Kim: We've already started the second flight on Sundays and I believe we started flying this Saturday. The first Saturday flight sometime around mid November to the third week of November.
Gianluca Tucci: Okay, perfect. 
Jamie B. Porteous: Technically we are doing seven days a week if you count the two Sunday flight. Eighth flight we will add on mid- November.
Gianluca Tucci: Okay, and on the core business [Technical Difficulty] six days for each week that you're doing your core business flying?
Ajay Virmani: One of the things we -- as you said last quarter and maybe remind everybody that everything -- the core businesses if you might it is quite core for us and so is the domestic business. I mean we used to call it core overnight business but lot of our domestic business is not overnight anymore. We do day flights and we are going to continue the day flights, and we are going to continue to do. So I think more -- we have taken the word core out because obviously that confused a lot of people and thought that ACMI and charters and some of the other business is secondary. And as we have noticed that business is also equally important to us so I would rather call it market segmentation more than splitting it up rather than core business for us. So yes, domestic I would refer to that as a domestic business that right now we are, yes, we are six days plus an additional flight on Sunday so it makes it seven days. But also mid November we will have starting some daylight turns as well so at the height of the peak some of those flights that we're looking at seven flights a week. Obviously there is more flights but it would become probably a couple additional flights during the peak as well which is traditional for us.
Gianluca Tucci: Awesome, thanks for the color there Ajay and Jamie you commented on I added data, is it fair to say that the Cargojet somewhat agnostic to that data because of how e-commerce driven and focused the company is?
Jamie B. Porteous: The only reference I made or the reason I made the reference for is because it does have an impact on our international inner line business and some of the international, the reasons that we suspended some of the international routes was again because of lower global air cargo demand and it certainly affected our interline volumes.
Gianluca Tucci: Okay, excellent and then just one final question here for John, I saw in the MD&A that you mended your credit facility, can you walk us through the highlights there I saw that I think on the 28th of October it was amended? 
Jamie B. Porteous: You know we you know with the support of our banking syndicate led by RBC. We are able to achieve some better pricing both 25 basis points on our on a revolver and we took the opportunity to extend that revolver so we have a full five year term now. So a committed facility for yet another five years.
Gianluca Tucci: Alright guys, thanks so much. 
Operator: Thank you, the next question is from Ben Cherniavsky from Raymond James. Please go ahead.
Ben Cherniavsky: Morning guys, most of my questions have been at this point but just if I could follow up for a little more clarification. John I appreciate the sensitivity of the warrant but can you at least give us an indication of what the after tax impact on EPS would have been from that gain? 
Jamie B. Porteous: I think we disclosed the game in terms of that quarterly sort of revaluation that we have to do. We are seeing some fairly sophisticated models. But in terms of the [indiscernible] you know that non-operating gain I think was in the neighborhood of $10 million 
Ben Cherniavsky: Yeah, is that after tax?
Jamie B. Porteous: You know I have to get back to you on the tax effect because in terms of whether we tax effective that number. Sorry, just I'm not sure but I can look that up and talk to you about that. 
Ben Cherniavsky: Yeah I'm just trying to get like an adjusted EPS number that you guys don't disclose it but it would be helpful to get that information. They're both on the quarter and the nine months? And then on the debenchers the potential dilution if I done a raise about $2000000 shares, do you think that's what the full dilution, actually we assume it is…? 
Jamie B. Porteous: It is at 68-65 straight price you know that's about right. 
Ben Cherniavsky: Ok, that is all I got, thank you. 
Operator: [Operator Instructions]. The next question is from Mona Nazir. Please go ahead. 
Mona Nazir: Hi, good morning everyone. Just back to the volumes I understand that with trade there was an upside to it but what would your outlook be like if let's say this great thing continues because we have already seen the 2019 was weak on volumes. So for 2020 we still see more contraction or is it sort of flattens out?
Ajay Virmani: We have seen the worst impact on the inner lines of business that it has for us and we discontinued the South America routes. I don't anticipate anything. What we're seeing on interline is bare minimum that is coming into Canada from other carriers and as you know there's not a lot of free dispute with Canada anyway. So what we're missing is the U.S. portion of that growth that we used to get on the innerline. I don’t anticipate that global trade would have any significant impact on what we do today. The driver of our business and the driver of growth is on the e-commerce side, on the domestic network. So I don’t anticipate that sort of area to be impacted by the global trade issues. 
Mona Nazir: Thank you, that's great color. And just one more, for fatigue fibrillation and the cost that you would pass on, if you could provide some color on the discussions that you have with customers to sort of finished, like finalize that process or is that something that's still going on?
Jamie B. Porteous: I think besides a couple of customers that we are they're doing their due diligence with us in terms of whatever cost increases, what's the impact, and how we spread it out. I think we are about 70% to 80%, have gone through with all the customers and put in place at different sort of as our cost is phased the approach of surcharges is phased as well. But as I said with the exception of one to two major customers that are in the due diligence, the rest have been all negotiated and the matter has been closed.
Mona Nazir: Thank you, that's it from me and congrats on great results. 
Ajay Virmani: Thank you.
Operator: There are no further questions registered at this time. I would now like turning over to Ms. Dhillon. 
Pauline Dhillon: Thank you. I am just going to ask Ajay to give us any last remarks that he may have. 
Ajay Virmani: Yes, thank you very much. Again lot of questions and hopefully as I said our strategy is to improve the margins and strengthen the balance sheet, manage our cost, and also manage our capital expenditures bringing the leverage down to 3. That would be our goals and I look forward to the next conference call with all of you with even better results. Thank you very much everybody.
Operator: Thank you. The conference has now ended. Please disconnect your lines at this time. We thank you for your participation.